Operator: Good day ladies and gentlemen, and welcome to the ABM Industries First Quarter Fiscal Year 2015 Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I’d now like to turn the conference over to, Henrik Slipsager, President and CEO. You may begin.
Henrik Slipsager: Thank you. Good morning. Joining me on the call today are Jim Lusk, Executive VP and Chief Financial Officer; Scott Salmirs, Executive VP and incoming CEO; and Sarah McConnell, our Executive Vice President and General Counsel. Today I’ll provide a brief overview of the 2015 first quarter that ended January 31. Jim Lusk will discuss the details of our financial results and I’ll do an operational summary before concluding our prepared remarks, we’re going to update outlook for fiscal 2015. There is a slide presentation that accompanies today’s call. You may access this presentation now by going to our website at www.abm.com and under the tab Investors, you will see the Event tab. Today’s presentation will be the first listed. Sarah?
Sarah Hlavinka McConnell: Thank you, Henrik. Please turn to Slide 2 of the presentation. Before we begin, I need to tell you that our presentation today contain predictions, estimates and other forward-looking statements. Our use of the words estimate, expect and similar expressions are intended to identify these statements. These statements represent our current judgment of what the future holds. While we believe them to be reasonable, these statements are subject to risks and uncertainties that could cause our actual results to differ materially. These factors are described in the slide that accompanies this presentation. During the course of this presentation, certain non-GAAP financial information will be presented. A reconciliation of those numbers to GAAP financial measures is available at the end of the presentation and on the company’s website under the Investors tab.
Henrik Slipsager: Thank you, Sarah. Now please turn to Slide 4 for an overview of our first quarter. I am very satisfied with our performance this quarter as results were in line with our expectations. Revenues were a record for the first quarter and up just over 5% from the same period last year. Highlights for our air serv was up over 13%, BESG was nearly 17% growth, janitorial topping 4% and parking breaking through the 3% level. For the quarter, operating profit excluding the corporate segment was up approximately 12% compared to fiscal ’14 and adjusted net income increased over 52% to $21.5 million as we benefitted from higher margins and tax spreads. We will provide more color on the drivers late in our prepared remarks. And in January, ABM won a unanimous reversal of $94 million judgment in a wage-and-hour class action suit. Now I’d like to turn the call over to Jim Lusk for a financial review of our first quarter. Jim?
Jim Lusk: Thank you, Henrik, and good morning everyone. Moving to Slide 5, on the top line we achieved revenues of $1.29 billion for the first quarter, up 5.1% compared to the prior year including organic growth of $38.9 million or 3.2%. In December, our janitorial segment exited a large contract as we believe the price concession required to maintain the job would have caused it to be unprofitable. Excluding this contract, organic growth would have been 4.4% on a year-over-year basis. As a percentage of revenues, gross margins increased by 30 basis points to 9.9% for the 2015 first quarter compared to the prior year. The increase in gross margin was primarily attributable to lower payroll and related expenses as a result of one less working day, lower insurance expense due to enhancements to our risk management, safety programs and realignment savings. This increase was partially offset by higher start up costs for certain newly acquired contracts and non-recurrent cost associated with certain clients. SG&A expense for the first quarter increased $15.4 million or 17.6% to $102.8 million. The increase was primarily in corporate expenses which grew by $10.2 million. This includes approximately $3.1 million of expenses to support sales and IT personnel working on growth initiatives as well as professional fees for employee tax credits. Corporate expenses also include $6.6 million of items impacting comparability. For the fiscal year, we expect a 7% to 9% increase in corporate SG&A excluding items impacting comparability compared to fiscal 2014. Amortization of intangible assets for the first quarter decreased by $0.5 million. Our effective tax rate for the three months ended January 31, 2015 and January 31, 2014 were 1.7% and 42.3% respectively. The decrease was primarily from $4.8 million in 2014 WOTC and other employment based tax credits. For the year, our estimate of our annual effective tax rate will be in the range of 34% to 38% which assumes Congress will not reenact the WOTC prior to October 31, 2015 for calendar 2015. Adjusted net income of $21.5 million or $0.38 per diluted share was up 52.5% compared to $14.1 million or $0.25 per diluted share in fiscal 2014. The increase is the result of the retroactive reinstatement of the 2014 Work Opportunity Tax Credit, a decrease in labor expense due to one less working day, lower in-year insurance expense as a result of safety initiatives and new business. Partially offsetting these items were higher compensation cost associated with sales and IT staff to support growth initiatives. Turning to Slide 6 and 7, day sales outstanding at quarter end were 56 days, flat on a year-over-year basis and up 3 days sequentially. Cash used in operating activities for the quarter ended January 31, 2015 was $32.4 million. This was an improvement of cash used of $6.5 million compared to the same period in fiscal 2014 primarily related to the timing of collecting receivables. Turning to insurance, total insurance claim liabilities at January 31, 2015 were $343.9 million, down $13.7 million compared to January 31, 2014. For self insurance claims paid during the quarter, the total cash paid was $22.9 million, down $0.2 million year-over-year. During the quarter, we amended our credit facility for one time increase to a leverage ratio from 3.25 to 3.50 times in the event of a material acquisition. We continue to have $30 million outstanding under our previous share repurchase authorization. And yesterday, we announced our 196th consecutive dividend of $0.16 per share continuing the long established pattern as evidenced by the chart at the bottom half of Slide 7. I would like to turn the call back to Henrik.
Henrik Slipsager: Thank you, Jim. Please go to Slides 9 and 10. I’ll now provide some operational highlights for the first quarter. Starting with our onsite business, janitorial top line growth for the quarter was 4.5% compared to 2014 with revenue of $666 million. Organic growth of 2.1% combined with approximately $60 million of revenue from our acquisition of GBM. As Jim mentioned earlier, janitorial exited a large contract for pricing reasons. Excluding the contract, organic growth for janitorial would have been up 4.4% compared with the first quarter of fiscal ‘14. Tag revenue was very strong in the quarter and compared to fiscal ‘14 grew 8.5%. For the first quarter, the janitorial segment earned $34.9 million in operating profit, an increase of $4.6 million or 15.2% compared with prior year. Operating margins increased 40 basis points to 5.2% primarily from $349 million benefit associated with one less working day in the quarter. Moving to Facility Services, revenue on a year-over-year basis increased by $4.5 million or 3% to $156.2 million as tag revenues exceptionally strong in December. The operational profit increased 16% to $5.9 million compared to prior year, a solid effort by our on-site facility service team. Parking revenue was $155.7 million, up $5.4 million or 3.6% compared to 2014 as we benefited from new jobs and improving economy. Parking operating profit increased by $1.3 million or 25% to $6.5 million compared to fiscal ’14 nice start by the guys at parking. In terms of security, as we previously communicated in the first half of fiscal year, the year will be challenging on a comparative basis. Revenue was $94.9 million and operating profit was $1.9 million, down $400,000 respectively compared to ’14. We continue to expect an improvement in the second half and we are working on successful closings and larger cross selling opportunities. Looking now at BESG segment with revenues of $119.4 million, our team had another strong quarter of growth by achieving 17% increase compared to ’14. However, operating profit of $1.2 million was down $1.5 million resulting from $1.2 million expense associated with the settlement of two client disputes and $700,000 increase in selling and business development costs. We are very confident that the BESG team will deliver double digit growth in revenue and operating profit compared to fiscal ’14 with the onetime cost behind them in a pipeline that remains very strong. Before discussing our outlook for the remainder of fiscal ’15, I want to say a few words about air serv. This segment listed as other in our financials had an outstanding quarter with revenue increasing 13.6% to $97.2 million, up $11.6 million compared to the first quarter of fiscal ’14. We continue to benefit from significant growth in our UK business and from recent contract wins by the U.S. commercial carriers. Operating profit of $2.6 million was up $700,000, up 36.8% for the quarter compared to fiscal ’14. With our expanding UK operations and recent sales win, we continue to believe our innovation vertical is set up for a very, very successful fiscal 2015. I will now turn the call over to Jim for a review of our financial guidance for fiscal ’15. Jim?
Jim Lusk: Thanks, Henrik. Please now turn to Slide 13. With the passage of the 2014 WOTC, the company is raising guidance as follows: $1.75 to $1.85 for adjusted net income per diluted share and $1.55 to $1.65 for net income per diluted share. This guidance excludes potential benefits associated with the 2015 Work Opportunity Tax Credit. If Congress were to extend the WOTC for calendar 2015 before October 31, our fiscal year end, the company would have a further benefit of $0.08 per diluted share. The second quarter will have one more work day compared to the prior year. This will increase labor expense by approximately $4 million on a pretax basis. Please review the other items listed on Slide 13 which contribute to the EPS guidance we have provided. As is customary, our guidance is exclusive of any future acquisitions. Operator, at this time, Henrik, Scott and I are ready to open the call to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Michael Gallo of CL King. Your line is now open.
Michael Gallo: Hi, good morning.
Henrik Slipsager: Good morning.
Jim Lusk: Good morning.
Michael Gallo: Couple of questions, I want to just – a good quarter, congratulations. I just want to drill into building and energy solutions a little bit. I mean you had obviously strong revenue growth. I know you had the two items you called out, but even excluding that it doesn’t look like you would have had much growth in the operating profit line. So was there something else about the composition of that revenue growth, is it some start up cost or walk me through why you think that will get back to growing more in line with revenue as you get into the back half? Thanks.
Henrik Slipsager: Mike, I am not already concerned about that because we’re dealing with the first quarter, which is a quarter where we have relatively few project type jobs. There was some start-up associated with our government business that’s included in the numbers and the good news about start-up cost is their revenue and income will come later. So, I’m not concerned about it. The growth I think is very impressive and knowing Tracy and his team, I know the profit will follow that growth. So, no reason for concern in that one. I’ll be more concerned if revenue was not up.
Michael Gallo: All right, okay fair enough. Second question I have is just on security, I know it’s been a couple of tougher quarters there, obviously that was one of the areas that should benefit from some of the cross-sells. Thought of if you can give us an update on security, which I guess has been challenging for a few quarters now and what your thoughts are there going forward? Thanks.
Jim Lusk: Security will be challenged I think for the most of the year. I think we are going to see some rebounding in the second half. It is very much associated with also one or two major jobs late last year I guess it was, the middle of last year. They are clearly benefitting from the cross-selling, so we see a lot of bidding activity and hopefully also some closing activity, I don’t even want to think about it if we you didn’t have that, so we are clearly benefitting from that. Security had a couple or three very good years and now we are limping a little bit, but I don’t think we - we are not bleeding, we are just limping.
Michael Gallo: Okay fair enough. Thanks.
Operator: Thank you. Our next question comes from the line of George Tong of Piper Jaffray. Your line is now open.
George Tong: Good morning. Let me first say, Scott welcome to your upcoming new role and Henrik you certainly will be missed. Here is my first question, you made investments in the quarter in sales and IT personal working on growth initiatives, can you discuss areas these incremental hires we focused on, how they evolve your growth outlook for the company and when do you expect them to ramp your productivity?
Henrik Slipsager: Maybe I will give you a little more sophisticated answer, a little more detail answer on that one. First of all the IT folks that - a lot of them were hired were simply shortages we have realized the last year that if you compare to the first quarter of last year, this is primarily shortage of people and to reflect on where we stand on this, this is pretty much on our plan, so we expected this, and as a matter of fact, I’m happy to see the whole staff finally, so we don’t have any holes in our IT department. IT department is very much associated with our overall business to make sure we have the technology as if to be part of our service provided provision, so that’s part of the business development part and the other thing Jim was talking about is just business. There are people, we know we always slowed up in the first quarter, we lowered up in the first quarter and as you can see that the past couple of years - that’s why we realized growth we haven’t seen in the past. So, it’s somewhat associated with the hiring of salespeople.
George Tong: That makes sense. We’ve seen several quarters now where your margins have benefited from reduced insurance expense related to enhancements to your risk management and safety programs, can you talk about how long you expect to continue to see emerging upside potential from this?
Henrik Slipsager: Well if you have, if you - the think about is, it started in the third quarter, primarily in the third quarter of this year made a huge benefit and that benefit in the third quarter, we had some benefit from the first and second quarter of fiscal 2014, so comparable, I think it was actually a benefit in the second quarter of fiscal 2015, you are going to see a – we are going to be a little behind on the insurance on fiscal – third quarter 2015 and that’s associated with the pick-up we had last year in third quarter 2015. So overall, we are pleased with our progress, we as you might know hired a lot of safety people and have personal safety programs. So hopefully the improvement is going to continue for years to come, but short-term second quarter will benefit from within third quarter, we hope we will have a deficit from it.
George Tong: And then last question, you’ve previously highlighted parking as a notable beneficiary of cross-selling initiatives under one ABM, can you discuss other potential sources of revenue upside from cross-selling in metro-areas?
Henrik Slipsager: Yeah, I think security for sure, maybe not in metro areas, but security for sure in the industrial side we see some references right now is taking place. Parking is somewhat a great start in my opinion because you know Parking was pretty much the only company the last couple of years we have not seen the growth, and finally I’m seeing growth both in top and bottom line. So, in a somewhat tough quarter because we did have it in our store in January and if you live on the East Coast you know February was a bit tough for us as well. We had a lot of snow and that does affect Parking, but Parking is still benefiting from the relationship in particular, in the Janitorial area and a lot of good activity in Parking is taking place right now.
George Tong: Thank you.
Operator: Thank you, our next question comes from Joe Box of Keybanc Capital Markets. Your line is now open.
Joe Box: Hi, good morning guys.
Henrik Slipsager : Good morning.
Jim Lusk: Good morning.
Joe Box: Henrik, congrats on the retirement.
Henrik Slipsager : Thank you.
Joe Box: Wanted to ask about the margin expansion in the Janitorial business, you know over the last few quarters we’ve actually seen some nice margin expansion, I’m just trying to discern how much of that is maybe the new contract? Upfront expense is normalizing versus maybe your high margin tag business that seems to be picking up, just any color on that will be helpful.
Henrik Slipsager : I think this quarter clearly benefits from one of that state compared to last year. This really did impact the margins overall. The tax sales for sure is at much margins than any other, other than that the key number we are focusing on and will keep focusing on also after the retirement, they’ve promise me is safety and the association of insurance expenses with the safety investment. So, we are making the investment now and we do believe long term we will get some nice payback, we thought it was a very competitive tool as well. So, I would say looking at it from 10,000 feet, the margins with the exception of that one day in janitorial is going to be flat.
Joe Box: And then can you maybe just put some parameters around the success that you called out on the West Coast, I know you guys are deploying you’re, you solved one more out there and you’ve got some alignment initiatives that you are doing in that region, I am just curious what the success has been and maybe how that might compare us from your other regions as you deployed elsewhere?
Henrik Slipsager : I think the West is clearly something that proves to me and I think proved to Scott that the value of a strong leadership team cannot be underestimated. We have a very strong leader, his name is Benny Jacobs [ph], he is doing a great job, In Southern Cal, you got Arnold Clower [ph], he is doing a fantastic job and I think we were - we saw their talent and we picked those two guys to lead the effort and they have been instrumental in improving - increasing communications between the different lines of business and if we can copy that success to other areas, we are going to see growth like this pretty much every place. But also that I want to mention here is, the depth of services we have in Southern Cal is much greater than any place else, you have to remember, you might not know this, but originally most of these services we grow about Parking, Security and others, we are starting in Southern Cal. So that is still the area where we have the deepest penetration.
Joe Box: Understood, thanks for that. And then Jim Lusk, when we look at the corporate expense being up 7% to 9% for the full year, just curious is that off of a GAAP number or a non-GAAP number?
Jim Lusk: That basically is a non-GAAP number. And if you look at our SG&A run rate in corporate for this quarter and you do the 7% to 9% you’re pretty at the run rate. So that’s pretty much what it does, so as Henrik described we had a lot of vacancies last year, especially in IT. Those vacancies were filled the latter year of the year last year. We’ve added a few sales people, so you are pretty much at your run rate right now.
Joe Box: Great. Thanks guys.
Henrik Slipsager : Thanks
Operator: Thank you. Our next question comes from the line of Andy Wittmann of Baird. Your line is now open.
Andy Wittmann: Hi good morning guys.
Henrik Slipsager : Good morning.
Andy Wittmann: I wanted to understand a little bit about the loss contract in the Janitorial business. Just doing simple math here it looks like roughly 2% growth for the quarter and implies 15% for the quarter, is that a $60 million contract for the year and then maybe more importantly was this the contract that was in the middle of its duration that you decided to get out of it as just a review of the contract or did this come due and go out of re-compete.
Henrik Slipsager: This was the contract that I have been talking about indirectly for a very long period of time with a very long implementation schedule where the time of course exceed our expectation in this matter, but I was profitable into and very little profitable into the second or third quarter of fiscal ’14. Then we ended up in some price disputes with a particular client and we decided to leave the relationship that was not very profitable for us by the, I would say November of ’14. It was an account at the level of around $4 million.
Andy Wittmann: Okay. So you left in November, so really the Janitorial, you were starting it up last year, but you kind of signed off in November where you started walking away from it. So, in other words you’ve got another couple of quarters here where it’s going to be tough revenue comp as a result of this, is that a fair value of looking at it Henrik?
Henrik Slipsager: Well I think from a reserve bottom line point of view it is not going to be very tough because we didn’t make that much money. And I think if you see our growth it’s pretty impressive because we more than absorbed that in our Janitorial segment and still we are up net organic growth by more than 2%, which is, and you remember [indiscernible] still a good number for us to be up 2% in the market that’s pretty flat if I lower my competitors. So, without it I’m up 1.5%, with it I’m up 2%. The sales activity in Janitorial is still very impressive, so I don’t see any - I don’t foresee any issues in that respect.
Andy Wittmann: Okay that’s helpful. And then maybe just, one for Scott here is, related to that as you look at the company margins here today Scott, and the opportunity I know you’ve been doing listening, you are going to your different offices and understanding the businesses, but is there an opportunity to look at more of contracts like that one, maybe that was - that’s obviously a large contract, but are there more opportunities you think in the portfolio of ABM to look at contracts with more scrutiny, potentially walk away and maybe as the expensive top line improve the overall bottom line results, is this something that you think this is one your priority list or just kind of curious on your thoughts on that?
Scott Salmirs: I think this is something we do well as a firm and I think we’ve been doing well for quite awhile. The operational discipline that we have in the field I think is unparalleled and if you remember, it wasn’t too long ago that I was running the Northeast, so I had a very, very micro window into this and that was always the theory. We don’t work for free and that translates to pride in our people and it also says a lot to our customers. So, I think as we go forward this is going to be the same operational discipline that we’ve always had.
Andy Wittmann: Okay. And then Scott I think given that this is your first conference call it’s probably fair to ask you, what are some of the things that you are looking at today potentially to put your stamp on, if you were to give your priorities one, two, three? What are some of the things that are formulating in your mind as things that you want to go after to drive the future of ABM?
Scott Salmirs: Well for us, and that’s something that we have spoken about before, it is the customer focus, we are going to continue on that. It’s the position that we’ve had as a firm and I think we need to drive that deeper and deeper and turn it into a true operating strategy. So that’s something you are going to see a lot of and you are going to hear a lot about from us and more collaboration as a team. We started it, we’d solve one more on the sales side and we’ve been doing it for a while now with our onsite restructure that we started a couple of years ago. And now we are going to look to our air serv division or the steel division, our on-site division and bring those three areas closer and closer together to have the true one ABM and that’s where a lot of the focus is going to be.
Andy Wittmann: Good. I think I will leave it there for now. Thank you very much.
Henrik Slipsager: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of David Gold of Sidoti. Your line is now open.
David Gold: Hey, good morning.
Henrik Slipsager: Good morning David.
David Gold: Henrik, it has been a pleasure working with your for about 15 years.
Henrik Slipsager: Thanks David, pleasure working with you as well.
David Gold: And Scott, obviously welcome to the new role or upcoming. Couple of just quick fill-ins, one, we just - going back to a second to the large contract when you think about that one just want to go over for a second, I guess the takeaway of the lesson learned, was it a function of missed pricing or was it a function of any implementation of things changed and it just became more let’s say expensive to you than expected it to be?
Henrik Slipsager : I am sure it’s a mistake Scott will never make, but I made it. It was - I think sometimes when you start - you look at this wonderful paid job, great opportunity, I think we got somewhat carried away with the opportunity and didn’t scrutinize the job deep enough before we said yes to the contract. And looking back the screening process has to be stronger and better in that process because one thing is what you see is the direct expenses associated with it, but there is also lot of indirect expenses and frustrations associated with a job like that as well, where you just don’t see the cost, but we have to allocate management resources to a job like that that exceeds what you would do to a normal job. So, lesson learned is, if it looks good to be true, it is too good to be true. So, Scott will absolutely not make that mistake.
Scott Salmirs : Thank you, Henrik.
David Gold: Got you. Okay, fair enough and then when we think about the pick-up in tag work in the Northeast, obviously was impressive. Tag work being a side margin is presumably you are pretty focused on doing what you can describe that on, what does it take for other areas say the west to catch fire on that?
Henrik Slipsager : Well you have to understand the difference in contracts between the different areas of the country. So especially in the West there are very few extras associated with it because the contract you have with the clients is pretty much an all-inclusive contract. So you are going to have some extra work and extra cap probably to employ, et cetera, but in New York you are dealing with a minimum spec and you have direct contracts with each tenant that drives us out of these tax sales. So, you really can’t draw a parallel between areas and make conclusion based upon areas. To give you an example, in New York, snow is unfortunately included in the pricing, but if you go to Washington D.C. it is an extra. So, every area is different, so I really can’t give you the marvel rather than saying to you that we know the difference in the marketplace as we are focusing on it.
David Gold: And based on the pipelines which you are seeing, how aggressive or how much stronger do you think the growth there gets?
Henrik Slipsager : I am encouraged by it. We have a lot of very, very attractive offers in front of [indiscernible] front of us, and a negotiation is in front of us. So, I really believe that the growth is now, it’s been now for six quarters to eight quarters and I think it is sustainable and it’s my hope again that Scott will take over something that will even grow more because I think we’ve been through some of the growing pains, we’ve been through the re-org and they take time and that’s why I feel it is the right time for me to get out of here and leave ways for a very talented man who is extremely marketing and sales focused and I am sure he will do a fantastic job for you.
David Gold: Got you. Perfect. One last if I can just sneak in there, looking at the growth in air serv, the other one, obviously very impressed by it. And we just wanted some thoughts there and it sounds like there is strong momentum, is growth like this sustainable?
Henrik Slipsager : I believe when we bought the company that we would see 10% plus growth in that company and I did that based upon the leadership, the call [ph] we see plus the market opportunities as endless. And again with that leadership and the direction that Tom is taking this company from Francis Morano, it is very, very, very impressive. And my hope is that on an average basis that you will see double digit growth in the long run. It doesn’t mean could be – next year it will be 7% and 15% I came with, [indiscernible] going to be 10% every year but on average I really believe that this is going to be a double digit growth and it’s going to be a long term success story for Scott and the team.
David Gold: And it’s were a function of market share gains in new contracts.
Henrik Slipsager: It’s margin. Might be some new airports opening up and generally it is margin.
David Gold: Perfect. Perfect. Thank you all.
Henrik Slipsager: Thank you.
Operator: Thank you. Our next question comes from Jeff Kessler of Imperial Capital. Your line is now open.
Jeff Kessler: Thank you. Congratulations, Henrik. It’s been 20 years.
Henrik Slipsager: I know you.
Jeff Kessler: And coming back, when you were with a competitor firm and then you – taking a look at the – you’ve made some specific references to where, one, ABM was beginning to take hold with regard to parking, but I thought I could get an idea from you for the rest of the fiscal year and into next fiscal year, how do you see – how you see this playing out in terms of which areas of the company are going to – would be of most benefit and where we’re going to see a little bit more lagging in terms of being able to integrate these pieces together under one roof so to speak.
Henrik Slipsager: Jeff, I would love to say that. Now [indiscernible] is going to grow 22% everywhere but that’s probably not the case. I think the small divisions will always benefit more because the percentage as well being the big company here has more up gradation, has more contracts. So the referrals will clearly benefit all the other divisions. And as I said earlier, if I’m going to see it on parking that was in my opinion very, very, very good quarter for parking. Security I think is truly a short term hiccup. Facility services had a good quarter but probably not just staying in the second quarter but will have a good growth year. I really believe the facility, the major jobs in janitorial, they are picking up and you will see growth in janitorial and if we lower the growth without that big job that we talked a lot about today, we will be pushing a growth between 3% and 5% in janitorial. It’s on a big base and it’s seeking nice margin out there. So I feel very good that you’re going to see long sustained growth throughout the company, but I am not going to put a number on each area.
Jeff Kessler: Okay. With regard to both janitorial, facility services, what is the current redundancy rates going, are they continuing to improve or this is the type of thing where improvement in the percentage of buildings that are occupied fully or partially or at least partially fully are going to drive this for an extended period of time, there is a tail to this obviously.
Henrik Slipsager: I think the occupancy rates in buildings have very little to do with our growth. I’ve said that before and I really believe it. I think the occupancy rates are high, that means the economy is good and I think you’re going to see some effects now with good economy but the raise in itself outside the reflection of the status of the economy really doesn’t have a major impact on us.
Jeff Kessler: Alright. What has to go in building energy solutions to pick up the margin there while the organic growth look really good, operating profit obviously had a couple of disputes. Where those the major reasons why the margins where as they were or are there other things that are holding it back that could perhaps dissipate over the course of the next fiscal year.
Henrik Slipsager: No, I think you are dealing with two things here. Beginning with the first quarter that is historically, the first two quarters historically in BESG are the weaker quarters and that has got to do with our energy retrofits which normally takes basically in the third and fourth quarter. As you can imagine, we do a lot of schools and that is often done in the summer break. So you cannot make any conclusion based upon this quarter in my opinion and we did have a couple of one-time hits which is not something we expect for the rest of the year. And the cost increase we had on the sales and business development people in that particular segment is of course something I expect is going to show meaning that we are going to have the double digit growth in BESG for the year and they’re also very certainly going to have double digit growth on the EBITDA level. I am very proud of what they are doing, what they have accomplished because they have pretty much a very strong machine going right now and they are hitting all cylinders. So outside the hiccups this quarter is truly a one-time nature and [indiscernible].
Jeff Kessler: Okay. And finally, with regard to healthcare support services, this has been a smaller part of that division. It started out I think a little bit slowly, what are you doing at that point and what are you doing at this point to really build that up because there is obviously tremendous amount of potential there.
Henrik Slipsager: We have invested in a very good team. We’ve seen pretty dramatic growth there on the top line. We are picking up new business as we speak. They’ve had, as I said, one of the two of those hiccups we talked about earlier did happen in the healthcare business and we did lose one of the jobs, so we resigned from a job. But I think again you’re going to see high double digit high teen growth in healthcare both this year and these coming years. We are a very small player in the marketplace. This is an area where I would very much look at smaller acquisitions but it’s not my call anymore but I am going to inspire them to look at smaller acquisitions because it is a healthy market segment, it is higher profitable than the rest of our business and again I got greater leadership there.
Jeff Kessler: Okay. And finally Scott, I know that you’ve answered this question before but I would like to hear perhaps from a different point of view that is one of the things that a lot of companies that are involved in services whether they are in security services or integration services or of that matter facility services are doing is trying to become as focused as possible on margin and building business process integration so to speak that part of it as oppose to just revenue and in fact walking from and kind of be as disciplined as possible with revenue. What are you – I know again you’ve partially answered this question already but can you give out what your view is as to what your tolerances for margin versus revenue and how you’re going to look at the two and make sure that this trend that seems to be slower revenue growth with higher margins may affect you folks.
Scott Salmirs: First of all, I think they are equally as important right, revenue helps drive EBITDA and margin and you’re right I have spoken about it before that this is going to be one of our organizing themes as we go forward which is to drive margin. And I think that’s going to come from the vertical or customer focus, and we’ve seen that in the aviation business, we have seen that in the healthcare business. When you focus on the customer rather than just a service if you drive higher bottom line and we are very hopeful that that’s going to continue. And the first thing that comes to mind to me as well is what we’re doing around insurance and risk mitigation. We are seeing the results of it changing our culture in the field and that’s going to help our bottom line as well, but we are very much going to be focused looking forward on enhancing our margin.
Jeff Kessler: Okay, very good. Thank you. Thank you very much and welcome Scott.
Scott Salmirs: Thank you.
Operator: Thank you. Our next question comes from the line of Dan Dolev of Jeffries. Your line is now open.
Daniel Dolev: Hi, thanks for taking my question. A question on organic growth in janitorial, so what should we expect in terms of organic growth for the balance of the year? Is it going to be in that 2% range going forward or higher?
Henrik Slipsager: Dan, I’m not going to give guidance for everything. But I say you can conclude based upon what I’ve said earlier. I don’t expected to be higher than 5% and I don’t expected to be lower than 2%.
Daniel Dolev: Okay. Understood. And on the incremental cost, I mean what percent or portion of those incremental IT cost were planned versus I’d say like more of a surprise to you guys?
Henrik Slipsager: Every dime was planned.
Daniel Dolev: Every dime was planned, okay.
Henrik Slipsager: We are here – our internal plans, both top and bottom line we are ahead of where we expect to be for the quarter, I’m very pleased with the quarter. And we had a very, in my opinion, a very strong start to the year.
Daniel Dolev: Okay. Understood. And then last question on M&A, Henrik. I mean you mentioned in the past that valuations were one of the things that hindered you from making acquisitions or evaluations. Can you maybe comment on how the M&A landscape looks like, this day has it come down or is it still very difficult to make M&A?
Henrik Slipsager: I think it’s not easy for us to make M&A because we also somewhat pity, it has to be an area that fits our strategic review which means we very much like to look at the verticals. And as you’ve seen in the past, Tracy has been mainly from some little acquisitions in his area. But if we go to the medium size to sizable companies, you will see private equity being very aggressive out there and I’d say the multiples are still one or two, three times more multiple higher than what I’ve seen in the past where we could have seen six, seven multiple in the past, we probably [indiscernible].
Daniel Dolev: Okay, great. Thank you very much and good luck on your retirement.
Henrik Slipsager: Thank you, sir.
Daniel Dolev: Thank you.
Operator: Thank you. And I’m showing no further questions at this time. I’d like to hand the call back over to Mr. Slipsager for any closing remarks.
Henrik Slipsager: Thank you. I want to first of all thank everybody for listening to our first quarter. I wanted to say thank you to employees, analysts with us being today and other shareholders for the support I’ve received over the years and I’m very proud to welcome Scott here. I think it is going to be a heck of the move for the company and I’m as proud as I can be. I think I am leaving on top, indeed that my stuff [ph] it’s probably Scott’s bottom, so that’s your upside. Scott?
Scott Salmirs: Thank you, Henrik. My message is I just want to make sure everyone understands how excited I’m to lead this organization. When you look at the components that it takes to run a company successfully, it’s your board, it’s your support team and your operators and I have a board that is rich and experienced, that is supportive, that’s going to be guiding me, couldn’t be more thankful. My support team here 561 that I interact with day-to-day has been so helpful. And I’m excited to work with them in the future as they are so talented. And finally, you talk about operators and operational excellence and you will look to Jim McClure, Tracy Price and Tom Marano and we are talking about the A team and I think they have been showing into the field. So it’s just a lot to rally around. This is as much about Henrik as anything else. And what do you say about a person that’s been here for 17 years, 14 years of which running this organization, this has literally transformed the company from when I started 12 years ago, which was a janitorial centric firm to an integrated facility service company that’s global. It’s just hard to believe what this man has accomplished in 14 years and he is leaving us a tremendous, tremendous platform. So Henrik, the way we will honor you is to move forward with the vision that you’ve developed for this company of customer focus leading with character and ethics, which you have always done and continuing to drive performance and value to our shareholders. And we know you will be watching over us as a shareholder, but I’m confident that we are going to be able to meet and hopefully exceed your expectations. Thank you for your years for service Henrik.
Henrik Slipsager: Thank you, Scott. And by the way those were not prepared remarks, I’m sitting and crying. So thank you very much for listening. Bye.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. That does conclude today’s program, you may all disconnect. Have a great day everyone.